Operator: Good morning, ladies and gentlemen, and welcome to Brighthouse Financial's First Quarter 2021 Earnings Conference Call. My name is Olivia, and I will be your coordinator today. At this time all participants are in a listen-only mode. We will facilitate a question-and-answer session towards the end of the conference call.  As a reminder, this conference is being recorded for replay purposes. 
David Rosenbaum: Good morning and thank you for joining Brighthouse Financial's First Quarter 2021 Earnings Call. Our earnings release, slide presentation and financial supplement were released last night. It can be accessed on the Investor Relations section of our website at brighthousefinancial.com. We encourage you to review all of these materials. Today, you will hear from Eric Steigerwalt, our President and Chief Executive Officer; and Ed Spehar, our Chief Financial Officer. Following our prepared comments, we will open the call up for a question-and-answer period. Also here with us today to participate in the discussions are Myles Lambert, Chief Distribution and Marketing Officer; Conor Murphy, Chief Operating Officer; and John Rosenthal, Chief Investment Officer. Our discussion during this call will include Forward-Looking Statements within the meaning of the Federal Securities Laws. Brighthouse Financial's actual results may differ materially from the results anticipated in the forward-looking statements as a result of risks and uncertainties described from time-to-time in Brighthouse Financial's filings with the U.S. Securities and Exchange Commission. Information discussed on today's call speaks only as of today, May 11, 2021. The Company undertakes no obligation to update any information discussed on today's call. During this call, we will be discussing certain financial measures used by management that are not based on Generally Accepted Accounting Principles also known as non-GAAP measures. Reconciliations of these non-GAAP measures on a historical basis to the most directly comparable GAAP measures and related definitions may be found on the Investor Relations portion of our website in our earnings release, slide presentation or financial supplement. And finally, references to statutory results, including certain statutory-based measures used by management are preliminary due to the timing of the filing of the statutory statements. And now I will turn the call over to our CEO, Eric Steigerwalt.
Eric Steigerwalt: Thank you, David, and good morning, everyone. Once again, I hope that everyone again, I hope that everyone listening today and your listening today and your loved ones are remaining safe and well. Today, I will provide some perspectives on the continued execution of our strategy and the progress we have made on our 2021 focus areas, in addition to discussing our first quarter results.
Edward Spehar: Thank you, Eric, and good morning, everyone. Before getting into the results for the quarter, I would like to take a moment to discuss our updated projected distributable earnings scenarios, which we published March 16th. There are three key messages to take away from these updated scenarios. First, we have a significant level of projected total company distributable earnings, even though all the scenarios assume interest rates starting from year-end 2020, or a 10-year U.S. treasury yield of 93 basis points. The total company 10-year distributable earnings projections we published on March 16th are comparable to what we presented last year adjusted for the $1 billion capital release in 2020 related to the de-risking of the variable annuity or VA hedging strategy. Second, VA distributable earnings were only modestly lower than what we published last year after adjusting for the $1 billion capital release associated with de-risking our hedging strategy. This illustrates that the strong market returns in 2020 were an effective offset to the negative impact from low interest rates. And third, interest rates today are substantially higher than what is reflected in the scenarios. The forward curve at year-end 2020 projected the 10-year treasury would reach today's interest rate level in mid-2025, and our current GAAP mean reversion to 3% over 10-years implies we would be at current rates at year-end 2023. Therefore, we believe that there is upside to the distributable earnings projections we published in March. Now turning to the first quarter results we released last night. I'm very pleased with our strong financial results and robust capital position. As Eric noted, the continuation of strong equity market performance and a rising interest rate environment was a positive backdrop for the quarter. Starting with preliminary statutory results. Our combined statutory total adjusted capital, or TAC, was approximately $9.4 billion, up $800 million from year-end 2020. We estimate that our combined risk-based capital or RBC ratio was between 500% and 520% and we reported normalized statutory earnings of approximately $100 million. These results were driven by the increase in equity markets and interest rates in the first quarter. The positive market factors, including favorable investment performance, were partially offset by elevated mortality and a $200 million to $250 million unfavorable impact associated with the prescribed decline in the 20-year treasury yield mean reversion point for statutory calculations.
Operator:
